Operator: Good morning and thank you for holding. Welcome to Rent-A-Center's Second Quarter Earnings Conference Call. As a reminder, this conference is being recorded Tuesday, August 08, 2019.Your speakers today are Mr. Mitch Fadel, Chief Executive Officer of Rent-A-Center; Maureen Short, Chief Financial Officer; and Daniel O'Rourke, Vice President of Finance and Real-Estate.I will now turn the conference over to Mr. O'Rourke. Please go ahead, sir.
Daniel O'Rourke: Thank you, Jessa. Good morning, everyone, and thank you for joining us. Our earnings release was distributed after market closed yesterday, which outlines our operational and financial results for the second quarter of 2019. All related material, including a link to the live webcast are available on our website at Investor.rentacenter.com.As a reminder, some of the statements provided on this call are forward-looking statements, which are subject to many factors that could cause actual results to differ materially from our expectations. Rent-A-Center undertakes no obligation to publicly update or revise any forward-looking statements. These factors are described in our earnings release issued yesterday, as well as in the company's SEC filings.I'd now like to turn the call over to Mitch.
Mitch Fadel: Thank you Daniel and good morning everyone, thank you for joining us. We will be providing a voice over to the presentation shown on the webcast. If you are unable to view the webcast, the presentation can also be found at investor.rentacenter.com.Now, moving on to the first page of it and our company highlights and strategic updates. The strategic plan we laid out last year focused on cost optimization, enhancing the value proposition and refranchising.The successful execution of our strategy has been instrumental in driving same-store-sales and EBITDA. Over the last 18 months we've taken over $140 million of annualized cost out of the business and with the refinancing now completed that number goes up to approximately $160 million moving forward, due to the expected interest expense savings of between $15 million and $20 million annually.This new capital structure has also enabled our board to approve the initiation of our quarterly cash dividend of $0.25 per share starting in the third quarter. Maureen will fill in the additional details regarding capital allocation, but certainly a big step forward.The value proposition enhancements we’ve made are having a positive impact as reflected in our continued same-store-sales growth. One of the key initiatives we’ve focused on this year is driving online traffic, which is up almost 30% for the quarter. We also focused on improving the conversion rate of those orders which we've also done, and that’s improved by about 400 basis points.We’ll hit a few more web and e-commerce steps in a minute, as this really becomes a really key growth driver for us.On July 15 we announced our intention to acquire Merchants Preferred, a nationwide virtual rent-to-own provider which fast-tracks our existing virtual rent-to-own strategy. The virtual business is now becoming a top priority and we intend to leverage the experience of the Merchants Preferred team to take full advantage of the growth potential, more on that in a moment as well.Finally franchising has been our third pillar, which we have selectively executed. During the second quarter we refranchised 20 locations. Given the strength of our corporate owned locations, refranchising will be utilized as a means of improving operating results in underperforming markets and stabilizing our brick-and-mortar footprint.As a result of this strategic plan, we continue to see significant progress in both our top and bottom line results. Highlighting the second quarter our consolidated same store sales increased 5.8%, a considerable achievement for any retailer. As shown on the same-store sales graph, our two year stack consolidated same-store sales were 9.5%, which is a testament to how our top-line has stabilized over the last 18 months.The bottom line results are shown on the trailing 12 month EBITDA basis, and since early last year our trailing 12 month EBITDA has improved sequentially each quarter, as a result of our performance to-date and the recent refinancing, we are raising our annual guidance. The revised guidance is shown in the lighter color bar on the far right and speaks to what we expect will be a strong second half of the year, as our cost savings are fully reflected in the bottom line.Now moving on to more specifically to the core segment. Driven by the execution of the value proposition changes, the core produced the better than expected same-store sales increase of 5.6% in the second quarter. While our overall revenues are down year-over-year due to refranchising and our store rationalization efforts, the comp increases reflect the pulse of our business. The same-store sales increase is primarily driven by higher customer traffic year-over-year, especially the online increases I mentioned a moment ago.Our portfolio on a same-store basis finished the quarter approximately 4% higher than the comparable quarter last year, because as most of you know this metrics is a good leading indicator for future same-store sales expectations in the core business.As I mentioned earlier, we continue to focus on converting our online traffic, which was up almost 30% less, that is over last year in the quarter. With the conversion rate also being up, you think about a 30% increase in the traffic, but we are converting more of that traffic, so we got a 38% increase in orders being closed off the web, and that now represents about 12.5% of all of our rent-to-own agreements written and about 15% of our revenue. So this significant increase in online or e-com agreements gives us confidence in the sustainability and the continued growth of our platform.A couple of other comments on the core business. Our skip/stolen losses remain very consistent year-over-year and they actually came down 50 basis points during the first quarter of this year as the team is executing very well.These days we get asked a lot about any tariff impact on our product purchases and I’m pleased to report based on who and where we get our products from, to-date we have seen virtually no impact from tariffs, nor do we foresee any future impact coming from tariffs. As a result of this positive momentum, adjusted EBITDA improved $12 million in the quarter and 280 basis points versus last year.Now moving on to Acceptance Now, our changes for the value proposition drove our same-store sales increases of 6% for the quarter and invoice volume was $113 million for the quarter, 7.5% higher than last year. Our skip/stolen losses in Acceptance Now improved by 40 basis points versus the first quarter of this and the year-and-year driven – it does have a year-over-year increase driven by abnormally low losses in the second quarter of 2018 related to the impact of recoveries. But sequentially, it’s a third quarter in a row they are down, so we feel good about where we are going there and they are in-line with our expectations.The sequential improvements in skip/stolen losses versus the first quarter, despite the lack of tax refund money in our customer base in the second quarter as compared to the first, is a further indication of our teams ability to execute in both of our key business segments.Now looking forward we expect to integrate the Merchants Preferred business model into the Acceptance soft segment over the back half of 2019 and slide five expands on the Merchants Preferred opportunity; the transaction and what this means to Acceptance Now and to our retail partners.As we announced in July the pending acquisitions Merchants Preferred was unanimously approved by Rent-A-Center Board of Directors for a total value of approximately $45.5 million and it is expected to close this month. As noted on our earnings call after the first quarter, we were in the early stages of standing up our own virtual rent-to-own expansion.In parallel, we are looking at acquisition opportunities in the space to speed up our time line. And after looking at numerous companies, we believe Merchants Preferred is the right match for us to fill the holes we had in our start-up initiative. Acquiring the Merchants Preferred technology and their infrastructure and their 2,500 locations is expected to enable us to accelerate our expansion plan by at least 18 months.Merchants Preferred was founded in 2012. It’s a nationwide provider as I think you know of virtual rent-to-own services for non-prime customers. They've generated approximately $80 million in revenue on a trailing 12 month basis as of June 30 of this year.The retail partners include independent furniture, bedding, appliances, tires and other retail partners. They are led by President and Chief Executive Officer, Joe Corona and over the past seven years of build, what we believe is leading edge technology and scalable infrastructure for virtual rent-to-own that will complement our existing acceptance now staffed business model.Looking ahead over the next two slides we see our Merchants Preferred enhances our capabilities and where we think we can take the business over the next three years. Strategically this acquisition is very appealing due to the advancement across several key capabilities. It also gets us past the infrastructure building phase, which can be costly when starting up a new business.They've already established the infrastructure, we were just starting to stand-up and they made the necessary start-up investments, and now we buy them at a time when they are not profitable and as I said, they should accelerate our virtual rent-to-own by at least 18 month.They bring a management team experience in virtual rent-to-own in a nationwide sales team of over 40 people. With access to lower cost of capital, we believe this team can capture significant share in the over $20 billion virtual rent-to-own market.Next up, the risk decision engine. While [inaudible] now utilizes an automated decision engine in our staff locations, Merchants Preferred has been able to do this in the virtual space, which does present different challenges and this is the significant step forward from where we are today as Acceptance Now on a standalone basis is in the early innings of fine tuning a virtual decision engine.Merchants Preferred also brings to the table a scalable technology enabled call center that provides that we believe is industry leading service to both customers and retailers. Utilizing Artificial Intelligence is the means to efficiently track compliance and improve upon best practices.Merchants Preferred also has a retailer facing portal that provides capabilities such as real-time reporting, ability to build marketing lists and live-chat with the call center just to name a few. The Retailer Partner portal is also integrated with the core technology platform and is very intuitive. They utilize the tutorial built right into the platform for retail partners to reference and quickly get up to speed, much further along than where we were.Similarly, our ability to integrate with e-commerce platforms and convert online traffic will continue to be a focus. Merchants Preferred currently generates approximately 20% of its business via online applications for filled in store, which at Acceptance Now is about half of that. And this acquisition accelerates the advancement with integration of online only retail providers.Consumer facing technology is an area that will evolve. Generally this platform is the means for us to interact with our customers from origination through servicing, and the Merchants Preferred technology foundation accelerates our ability to build consumer facing functionality.Both Acceptance Now and Merchants Preferred have Waterfall technology integration capabilities that retail us from a wire point [ph] to ensure seamless customer experience. As a matter of fact, Acceptance Now generates approximately 80% of its revenue in partners where we are fully integrated in Waterfall technology. We're committed to providing a convenient and seamless application process with any platform or retailer partner shoot and we’ll have the capability to do so in both Acceptance Now and Merchants Preferred.Looking forward, we believe the combined offering will be the most comprehensive in the industry as we will offer staffed model, a virtual model or a hybrid model for use during peak selling seasons to our retail partner.Our retail partners will be able to assess and select which model best suits their needs to maximize revenues and save the sale. With this added flexibility we will now be in a much better position to land more large international retailers.So what are our growth expectations over the next three years? By 2022 we expect to grow revenues over $1.2 billion in annual growth rate of approximately 15% and an increase of approximately $400 million versus the current pro-forma combined businesses.We believe our goals will be achievable out of the gate with the improved capital position and the ability to aggressively sell to our respective pipeline. As we move forward, we’ll introduce that hybrid model, expand into new product verticals and as I mentioned earlier, put ourselves in position to land more national partnership.And although we'll see a slight dip in Acceptance Now’s overall margin percentage when we initially combine these two businesses, we'll be at a higher margin once virtual is a meaningful part of our business. Really excited about the opportunities with Merchants Preferred.And I'll now turn the call over to Maureen for additional highlights on our financial results.
Maureen Short: Thanks Mitch. Good morning everyone. I’ll cover some financial highlights for the second quarter; provide an overview of the refinancing we recently completed and close with our increased guidance for 2019 before opening up the call for questions.During the second quarter, consolidated total revenues were approximately $656 million, flat versus the same period last year, primarily driven by a consolidated same-store sales increase of 5.8%, offset by refranchising and rationalization of our store-base.Adjusted EBITDA was $67.4 million in the quarter and EBITDA margin was 10.3%, up 100 basis points over the same period last year. Net diluted profit per share excluding special items was $0.60.In our core U.S. segment, total revenues in the second quarter decreased 1% versus the same period last year, primarily due to refranchising and rationalization of our store base, partially offset by a same-store sales increase of 5.6%.Store labor and other store expenses decreased by $23.8 million, primarily driven by lower store count and cost savings initiatives. Adjusted EBITDA in the quarter was approximately $73 million, and EBITDA margin was 16.2%, up 280 basis points versus the prior year.Now turning to the Acceptance NOW business, total revenues in the second quarter decreased 1.5%, primarily due to the run-offs of certain Acceptance Now partners, partially offset by a same-store sales increase of 6%. Store labor and other store expenses increased by $3.8 million, primarily due to higher year-over-year Skip/stolen losses due to recovery credits in the second quarter of 2018.Adjusted EBITDA in the Acceptance NOW segment was $23.1 million and EBITDA margin was 13.1%; lower than last year but up 180 basis points from 11.3% in the first quarter of 2019.Remember as you look at last year, the Acceptance Now business benefited from the run-off of accounts from Conn's and HHGregg and the skip/stolen recoveries I just mentioned as well.Mexico grew revenue by 10.1% in the second quarter and generated $1.6 million in adjusted-EBITDA. In the franchise segment revenue was $14.9 million and adjusted-EBITDA was $1.8 million.Corporate operating expenses in the second quarter decreased by approximately $1.4 million compared to the prior year, primarily due to the realization of cost savings initiatives, partially offset in the quarter by executive severance and higher incentive compensation.Moving on to the balance sheet and cash-flow highlights. For the second quarter of 2019, cash generated from operating activities was $110 million, $51 million higher than the prior year, driven by the merger termination settlement and stronger operating performance, partially offset by one-time working capital benefits in the prior year.We ended the quarter with $353 million in cash on the balance sheet and the net debt to adjusted EBITDA ratio of 0.8x. The liquidity and net debt to EBITDA metrics shown in the graph highlight our strong liquidity position and the improvement of our net debt to EBITDA ratio over the past 18 months.Moving to page 11, as Mitch mentioned we recently completed the refinancing of our credit facility and the redemption of our outstanding senior notes. With the refinancing the company entered into new credit agreement for a 5 year, $300 million asset based revolving credit facility, and a 7 year $200 million Term loan B. The initial draw on the revolver was $80 million and the full $200 million was borrowed under the Term loan B.The proceeds from the refinancing, plus $260 million of cash-on-hand was used to prepay and fold the $543 million senior notes. Following the completion of the refinancing, outstanding debt with $280 million. Given that the significantly lower debt balance, net interest expense is expected to decrease by approximately $15 million to $20 million on an annualized run-rate basis.Cash on the balance sheet at the time of closing was $102 million and total availability on our revolver was $128 million, taking into account our letters of credit.Now I'll talk a little bit about our capital allocation framework. Our first priority would be investing to grow the business with the focus on the $20-plus billion virtual rent-to-own opportunity. We are also committed to maintaining a conservative balance sheet going forward.Our net debt to EBITDA ratio is currently up 0.8x and we have a long range target to not exceed 1.5x. Through the refinancing and our improved financial performance, we are also now able to return value to our shareholders through a $0.25 per share quarterly dividend starting in the third quarter of 2019.Also, as a reminder the Board of Directors previously authorized a share-repurchase program, and as of June 30, 2019 we had $255 million remaining under the program. With the new flexibility of the refinancing, the company now has the option to repurchase shares.Moving to slide 12, it lays out our revised guidance for 2019. Please note these ranges do not include the Merchants Preferred acquisition, but do include the refinancing transaction.Total consolidated revenue increased by $10 million and is now expected to be in the range of $2.595 billion to $2.640 billion. The revenue increase was due to the strength of our core portfolio and Acceptance Now revenue remained flat to prior guidance.Same store sales is now expected to be mid-single digits, up from low to mid-single digits. Adjusted EBITDA was increased to be between $240 million and $265 million. Non-GAAP diluted earnings per share are expected to be between $2.05 and $2.40, an increase of $0.20 on the low end and $0.15 on the high end of the guidance range.The Adjusted EBITDA and EPS increases versus the previous guidance are due to the performance in the second quarter and the interest savings in the back half of the year due to the refinancing.Free cash flow is expected to be between $200 million and $225 million, and I also wanted to note that the net debt has been adjusted to include the dividend payment.The guidance does not include any new refranchise transaction after the second quarter of 2019. Due to the seasonality, most of the guidance increases are expected to materialize in the fourth quarter.As always, detailed pro form income statement by segment are posted on our company website and the 10-Q for the second quarter will be filed later today.Thank you for your time. Now I’ll open up the call for your question.
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of Budd Bugatch from Raymond James. Please go ahead.
Budd Bugatch: Good morning and thank you for taking the questions; just a couple of questions. To start I’ll just start with the Merchants Preferred since that’s the newest initiative. Mitch can you give us kind of a read of what your first steps will be on Merchants Preferred? How are you going to plan to integrate and maybe give us a little bit more flavor of what their current is in terms of doors and growth of doors year-over-year and that kind of historical?
Mitch Fadel: Yeah, I can give you some of that Budd, good morning. Probably won't get into too much of the historical results, we haven’t even closed yet. So we can talk quite a bit about it, but I won't get into too much depth with it, like I said, we haven’t even closed yet.But generally speaking going forward we're going to have integrate the business. We are going to have at least initially – the people here running the staff model will continue to run the staff model and Joe Corona and his team out of Atlanta with Merchants Preferred will run the virtual model.So we are going to – you’ll see the numbers integrated, we are going to have the experts on each side work together, kind of co-leads if you will the person that runs Acceptance Now for us and then Joe who leads, their CEO of running the virtual. So co-leads, still working on the branding, doing some customer research on whether we keep both brands long term, initially we will – whether we keep both brand names long term or not, we're doing consumer research on.They've got about 2,500 doors. I mentioned their LTM in revenue is about $80 million. They have started to turn a profit in the last year or two. As I mentioned, what we like a lot is they’ve already built the infrastructure, already taken the start-up losses that we're about to embark on from an Acceptance Now standpoint to dive into the virtual world. They’ve got a large pipeline, they have been capital constrained, so we can unleash that pipeline with their 40 plus sales person team.We’ve got a large pipeline for virtual. We went over the numbers, how we think we can grow the $700 million of Acceptance Now becomes $800 million with Merchants Preferred initially and we think we can go to 1.2 over the next three years, we are very confident we can do that based on the businesses out there. The offering will have new verticals, and when I say the offerings, you know manned or virtual or a combination of the two which will be – we are the only ones out there that will have that combination and to new verticals.They are in tires, we are not in tires, so that’s new vertical and there’s other new verticals to talk about. So we are excited. It should close this month and get working on integrating the two businesses.
Budd Bugatch: Okay, let me just turn to, quickly to the core, one of the issues we talked about last quarter and was the 180 days. It looks like it showed up maybe a little bit in gross margin performance this quarter and the quarter year-over-year. Can you talk a little bit about what's affecting gross margins? I saw it; the cost of merchandise sales was up significantly year-over-year. Talk a little bit about how that works and may be if you could give us a flavor on what investors should expect?
Mitch Fadel: Yeah, I think – I don't think it just showed this quarter. When you go year-over-year, don’t forget last year in the second quarter is when we were making the value proposition changes. If you look sequentially the last four quarters, it’s the highest gross margin in the core business in the last four quarters. So it started to show up as soon as we put it in at the beginning of 2018. By the third quarter it was showing up and our gross margin percentages have only gone up from there slightly. They've been about 69.5 every quarter. So it's been pretty consistent and I’d expect them to stay at least at that range.Sequentially they’ve improved actually since the third quarter of last year, and quite a bit of improvement over the first quarter, so I think that’s already baked in. It’s not like they are dropping. They are only dropping year-over-year because we made a lot of changes last few, the beginning of the year, and I just point to the EBITDA margins. The 16.2% EBITDA margins in the quarter is the highest in forever, and its almost 300 basis points higher than it was a year ago.So if the gross profit is down marginally from a year ago, the EBITDA margin is up almost 300 basis points, which I think is the important number, and like I said, just looking at the gross margin last four quarters and it's not like it's dropping. It's only dropping if you go all the way back to second quarter last year before we made the value propositions, and it is lower than it was before we made the value proposition, but again even EBITDA margins is the highest in forever.So we've got a better value proposition, but we’ve taken the cost out, so we are making a lot more money than we used to overall and the gross margins are pretty – it’s already backed in. It’s not like they are dropping anymore now. They only dropping when you go back to early last year. So overall we are really happy with those margins, with the EBITDA margins.
Budd Bugatch: Agreed, I see that. What’s the average contracts for – number of contracts now per core door? Can you kind of give us what that looks like? How the customer count is?
Mitch Fadel: You know I don’t have that in front of me. I know one of the slides shows the customer count per store effect on page three. The customer count is right on top of where it was per store back in 2016; the blue line on page three compared to the red line. So we are right on top of our high point for ever finishing our second quarter – I’d say ever – in the last four years where the high point customer account was, but I can’t say its three of the presentation. I don’t have accounts in front of me, but that’s the customer account which is going to be about the same. I mean the accounts are higher than the customer account on a kind of relative basis and comparable will be pretty close.
Budd Bugatch: Great! And a last for me, just Maureen can you talk a little bit about the rates in the Term loan B and revolver, how does that look? I know we get $10 million to $15 million of annual interest savings. When will the document be filed on those agreements and can you maybe give us a little flavor of inside what those look like?
Maureen Short: Sure Budd. Within the 10-Q that’s filed later today, it will include all the information about the credit agreement, and the rates on the AVL are initially 150 basis points plus LIBOR. Its dependent on leverage that can range from about 150 to 200 basis points and the Term loan B is 450 basis points plus LIBOR.
Budd Bugatch: 450 basis points above LIBOR?
Maureen Short: Yes.
Budd Bugatch: Okay, and is that a FILO loan, is that how that’s working?
Maureen Short: No, it’s a traditional Term loan B, not a FILO. Its bot based on a borrowing base.
Budd Bugatch: Repayment capability, if you want to, what kind of flexibility do you have?
Maureen Short: Yes, we have full flexibility either six months, before we’ll be able to prepay the debt with no penalties.
Budd Bugatch: Okay lastly, any charges that will show up for the bank refinancing in the third quarter?
Maureen Short: Yes, within the third quarter there is refinancing fees of between $7 million and $8 million.
Budd Bugatch: Terrific! Thank you very much. Good luck and congratulations! Really lovely to see the complete turnaround. Thanks.
Mitch Fadel: Thanks Budd.
Operator: Your next question comes from the line of John Rowan from Janney. Please go ahead.
John Rowan: Good morning everyone.
Mitch Fadel: Good morning John.
John Rowan: Maureen I just, I appreciate the information on the cost of the, you know of the B and the ABL. But I was just wondering, what – just maybe back up making it a little simpler, what's the blended rate of debt cost that you have now, including any commitment fees that you might have. Just trying to get a sense of what the overall cost of the facility is to you today?
Maureen Short: The blended rate is, I believe it's around 6%, a little under 6%. It would be the $200 million at the 450 basis points plus LIBOR and then the $80 million on the AVL at 150-plus LIBOR.
John Rowan: And the 6%, does that include commitment fees as well?
Maureen Short: Yes, there are commitment fees on the letters of credit, and that ranges from 25 to 37.5 basis points.
John Rowan: And then the guidance that you guys gave for the net debt at the end of the period, does that include an assumption for repurchases? I mean I'm basically asking if your guidance includes assumption of repurchases.
Maureen Short: It does not include share repurchases in our guidance.
John Rowan: Is there a limiter in the covenants to how much you can return, whether it be through dividends, acquisitions or repurchases?
Maureen Short: As long as we meet certain liquidity thresholds, the restricted payment basket is unlimited within those facilities.
John Rowan: Okay, any tax rate guidance going forward?
Maureen Short: Any tax rate guidance. Yes, it’s between 23.5% in 24.5%.
John Rowan: Okay and then just one question on the acquisition that you did, what is their strategy for dealing with return merchandise?
Mitch Fadel: Well, they have a few different ways they do that. I think the key point there; I want to say a few different ways when they recover merchandise. Of course they don’t have brick-and-mortar stores to re-ramp and so they have these other things, online sales, things like that to discard the merchandise, whether it’s all for up for those kinds of things, which is what most of the virtual providers do, is have to find another liquidator and things like that.The key point there though John is that in our – with us having the brick-and-mortar stores, we can monetize them at a higher level than what they've been able to do – without, it's not like they have a level of returns that’s going to hurt the core based on the way their value proposition works with shorter term agreements, 12, 18 month agreement, they don't get a lot, but the few they do get we can monetization, we can improve the monetization with our core brick-and-mortar stores.
John Rowan: Yeah, would you be willing to tell us what their return rate is relative to the Rent-A-Center?Well, relative to the Rent-A-Center core and Acceptance Now.
Mitch Fadel: No, for two reasons; one we haven't closed yet, so I wouldn’t give any data on what their current situation is, and I don't have it in front of me, but we can get in to that later, it’s not real high, it’s not real high. But there are returns of course, it’s a rental business, but the few they have we’ll be able to monetize in a much better way.
John Rowan: And do you think you will be able to you know plug them into your brick-and-mortar stores and improve the gross margin that they are getting on returned merchandise?
Mitch Fadel: Correct.
John Rowan: To be clear.
Mitch Fadel: Correct.
John Rowan: Alright, thank you very much.
Mitch Fadel: Thanks John.
Operator: Your next question comes from a line of Kyle Joseph from Jefferies. Please go ahead.
Kyle Joseph: Hey, good morning guys. Thanks for taking my questions and congratulations on a busy good quarter.
Mitch Fadel: Thanks Kyle.
Kyle Joseph: Just following up, I know you guys talked about one-time costs from the credit facilities. Should we expect any one time costs related to the acquisition in the third quarter as well for modeling perspective?
Mitch Fadel: A little bit, from a banker standpoint. Investment banking fees or not, it’s not a whole lot, but there will be a small amount of investment banking fees.
Kyle Joseph: Got it. And then thinking about Merchants Preferred, you know how quickly do you anticipate being able to consolidated the two business and go out and pitch the platform to new potential retail partners, what sort of time line do you have there?
Mitch Fadel: Well, the kind of – it will come with phases Kyle. They got a large pipeline right now for virtual; they've been capital constrained, so some of that we can only issue immediately based on the current offerings.As far as the hybrid offering where it’s a combination of virtual or manned within the same store, in different stores we’d be able to do that pretty quickly. In the same-store from a technology standpoint we're probably looking at early next year. So the six month kind of time window on the full offerings, but as far as the current offering and unleashing their sales team baked on that being capital constrained, that starts day one.
Kyle Joseph: Got it. And then just thinking about EBITDA margins of the – I’m sorry, not the consolidated business, but the combination of Acceptance Now and Merchants Preferred over time. I know you said you know from a near term perspective there may be a little bit of margin compression. That's understandable given you highlighted there a little bit profitable.But over time given the combination of the business, how do you think about the EBITDA margin versus where Acceptance Now has been trending, given it is virtual and fully understand that there's some puts and takes in terms of EBITDA margin obviously, less employee costs, but you know some offsets there as well.
Mitch Fadel: Yeah there's some gross, certainly gross profit is a little lower in the virtual world, but then you make up for it from a labor standpoint. I think initially it will drop the margins, but as it becomes more meaningful, the margins will be higher than where Acceptance Now is today.
Kyle Joseph: Got it. Thanks very much for answering my questions.
Mitch Fadel: Thanks Kyle.
Operator: Your next question comes from the line of Bradley Thomas from KeyBanc Capital Markets. Please go ahead.
Unidentified Analyst: Good morning this Andrew on for Brad. I just had a question on Merchants Preferred. It seems like the acquisition will complement Acceptance Now well. A question that we've been getting from investors is whether or not you're keeping an eye out for additional acquisitions like this one going forward?
Mitch Fadel: Well, we looked at the numerous companies and decided Merchants Preferred – we believe Merchants Preferred is the best fit for us for what we needed. You know certainly you know with our capital structure we’ll have the opportunity to do more and yeah, we won't need to buy the infrastructure and so forth that we are buying. So we'd have to look at it a little differently, but I would never say never. We are always going to look at opportunities, but right now we're focused on just integrating and growing rapidly with the one we just bought.But to answer your question Andrew, of course we’d look at things, but it would be under a different look, right, because again this is a lot about buying infrastructure and so forth. But sure, we can look at it, there’s an awful lot of virtual companies out there and if the economics are right first, we’d look at it.
Unidentified Analyst: Right, that makes sense. And my last question is on the core business, I was wondering if you could talk more about some of the merchandising trends and initiatives that you guys are doing that will drive comp in the second half?
Mitch Fadel: Well, it’s really the e-com side of the business, the web orders that are growing at 30%, our conversion rates growing – it grew about 400 basis points in the second quarter, so our online agreements that are up 38% when you combine those two. It’s already 15% of our revenue and it's growing every quarter. So the value proposition changes we’ve made are really attractive to the customer and we're getting a lot more online traffic and we are very confident that that's very sustainable.
Unidentified Analyst: Okay, great thanks, that's all from me.
Mitch Fadel: Thanks Andrew.
Operator: Your next question comes from a line of John Baugh from Stifel. Please go ahead.
John Baugh: Thank you. Good morning and congrats on particularly the progress of the balance sheet. I was wondering first, could we just get a clarification on your comp calculations, Maureen. That hasn’t changed at all. We are still like taking out the benefit right of a closed door when it folds into an existing store for what 12 months and then it comes back into the comp.
Maureen Short: Its pulled out for a full 24 months. If a store receives a certain percentage of count from a closed location and there weren't quite a bit of changes this quarter with new stores coming into the comps, whether that be from hurricanes that had occurred previously or the closures, particularly on the Acceptance Now side.
John Baugh: Okay, great. And Mitch I know you mentioned the Merchants Preferred has been capital constrained, but is there any kind of rough invoice volume growth number for the last 12, 24 months that you are willing to offer.
Mitch Fadel: I don't have the invoice volume growth, their revenue is growing. I know the 2018 revenue was about $75 million and the last 12 months revenue was $80 million. So that's a nice trend from a percentage standpoint, especially being capital constraint and having to pick their spots where they can grow.So I don't have invoice volume in front of me, but the revenue is growing and their profits been growing and even though they are only slightly profitably now, with synergies we're going to be in the -- we said it’s an immaterial effect this year, because it’s only going to be about four months left in this year when we take it over. But on a run rate basis once we get the synergies by the end of the year, even their current profit, we are looking in the $5 million range.So besides buying the infrastructure and speeding up our process from a virtual standpoint, it’s not like we didn’t get any revenue or profit. Like I said, with synergies we’re going to be in the $5 million range. We said immaterial this year, because of the timing and obviously we had to get those synergies over the next couple of months.
John Baugh: Okay and then Maureen is there any – if you hit this goal for Merchants Preferred or you know growth, how does that impact cash flow? Is it self-funding, does it generate cash, does it use cash?
Maureen Short: There will be a working capital outflow and as we grow the Merchants Preferred business, but clearly we believe that’s a profitable growth from EBITDA stand point over time and definitely believe in the potential growth of that business. So yeah, it will generate free cash flow as an ongoing business, as we put the inventory investments out to work and we’ll generate cash flow over time, but initially there will be working capital investments.
John Baugh: Great, and jumping back to core and write-offs, you mentioned online is growing. My understanding is that it has a little higher risk to it. Are you seeing that or is it too early to see that? You mentioned it’s up 30%. I’m wondering what you are experiencing and/or anticipating on write-offs and core?
Mitch Fadel: Our skip/stolens were 3.2% in the quarter, in the second quarter and a year ago when online business was probably less than, well as I said the online agreements were up 38%, it was 3.1%. So we are right on top of last year, even with all the new customers coming from the web. So we're not seeing that kind of a risk from that customer coming in, so we're not anticipating it to happen them going forward. We haven’t seen it yet. Like I said, we are right on top of last year sequentially down significantly from the mid threes and we are expecting very well on that. So we are not seeing a problem with the web customers driving our losses.
John Baugh: Okay, and then my last question Mitch's you know around – I mean obviously the balance sheet is great and you announced that dividend. I’m just curious the debate internally around the opportunity to grow with the virtual business and how important it is to have a capital structure balance sheet that can support that when pitching the business. Can you give me the puts and takes on how you thought about the capital allocation as it relates to your total addressable market being so large?
Mitch Fadel: Sure, you know simply put, our first priority is to grow that business and to grow into that $20 billion business and the dividend comes from a place where we think we can do both and we are at 0.8x debt rate now. As Maureen said, we want to stay conservative from a balance sheet standpoint and keep it at 1.5x or less, but that’s an awful lot of cash flow on a monthly basis today anyhow. So the short answer John is we can do both.
John Baugh: Okay, alright. Terrific! Thank you and good luck.
Mitch Fadel: Thanks John.
Operator: Your next question comes from the line of Vincent Caintic from Stephens. Please go ahead.
Vincent Caintic: Hey thanks, good morning guys. The question is on the virtual rent-to-own. So I appreciate the revenue guidance you gave for the two year outlook of $1.2 billion. Kind of wondering if you can give us a flavor of kind of what confidence and what line of insight you have in there, and I guess the reason I ask, it seems like for virtual rent-to-own you have a typical three year sales cycle with the retailers. So are there any pilot programs that you have already running? Is there any progress you can share?
Mitch Fadel: Well, our confidence Vincent comes from the pipelines that are out there, the opportunity that’s out there, how much white space is still out there. You know we've been able to grow the manned model Merchants Preferred as we’ve been able to grow the virtual model even being capital constrained. We’ve got a great sales team. We don't have any pilots, not that we are going to speak to it today. As far as large national partner renting, we already have some large national furniture partners and we believe this will accelerate our opportunity to do that.But it’s not – I guess the short answer here is the $1.2 billion is not based on going and getting one of the largest retailers in the country. Its that would actually improve that $1.2 billion. We believe we're going to be able to do that, but it's not – our number is more conservative than that when it comes to defending regional players, some other verticals like I mentioned earlier. So it's not based on we got to get that one big retailer that we're going to do $200 million a year on or $300 million a year on.
Vincent Caintic: Okay, got it, that’s helpful. And I guess maybe taking a step back at kind of your view of virtual rent-to-own and your expansion plan. So you've got your existing acceptance now, manned offering. Now you have the virtual offering with Merchants Preferred, and another one we haven’t talked about, I think before is your partnership with Vyze by Mastercard [ph]. I think you’ve already got a couple of retail partnership there like with Home Depot, so I’m wondering if you could talk about that.So once you get Merchants Preferred integrated this year, how do you – could you give us a broad overview how you see Rent-A-Center and the virtual rent-to-own offering competing beginning in 2020.
Mitch Fadel: Well, we do have relationships with a few of the different waterfall companies like Vyze and integrators like Vyze and Versatile and some of those other one stores, some of those other companies. We also integrate right into POS systems directly with retail partners.As I mentioned earlier, about 80% of our business comes through a waterfall, a partner that has the waterfall, whether it's the own that we, that our IT department you know went into and built into with the retail partners IT department or it’s a third party like Vyze or Versatile. So we are doing business with all those companies, great relationships with all those companies and that will be as we grow, a lot of times you are talking not just to retail partners, but you are also using those waterfall integrators as a growth vehicle.We just recently did a deal where were in something called TD Complete, The TD Bank is the primary and we’re the only tertiary in there that just started being offered last month. So yeah, there's a lot of activity around not just retail partners but also online partners in these waterfall integrators and you know the direct online business is going to be a big play there in the virtual world too, not just necessarily direct to the retailer.
Vincent Caintic: Okay, perfect. And yeah, I think TD has a couple of private label credit cards with the big retailers and that's really exciting.Just one last quick one. So I know we talked about the value proposition driving some of the gross profit margin decline, but has there been any recent changes to the value proposition since second quarter of last year or should we now be expecting to comp the virtual proposition, value proposition in the third quarter. Thanks.
Mitch Fadel: Yeah okay, that’s right, I totally understood that Vincent, but no there hasn’t been any major value proposition changes since last June, the second quarter and it’s a good point. It’s kind of what I was talking about when Budd asked the question about the core, the second quarter last year from a margin standpoint.If you start with the third quarter, you see a much more consistent gross profit margin, because EBITDA goes up and then on the email side, you see it more consistent as you get into the latter part of last year and there's not more of its going to drop and except for virtual. Virtual as you know Vicente drops gross profit level, but grows EBITDA level and that’s what we expect to see.And one other point on what we were talking about earlier, when you followed up and said yes, TD Bank, you have some of these – some exclusive offerings. We are exclusive and what their online program is, it’s called TD Complete and we are the exclusive rent-to-own provider in there.
Vincent Caintic: Okay, that’s great, really helpful. Thanks so much guys.
Mitch Fadel: Thanks Vicente.
Operator: [Operator Instructions] Your next question comes from the line of Anthony Chukumba from Loop Capital Markets. Please go ahead.
Anthony Chukumba: Good morning, and let me add my congratulations, particularly in terms of all the work that you guys got done this quarter, the refinancing and the Merchants Preferred deal executing the turn around. So hopefully you are all off for a long vacation sometime soon, I’m thinking marine.So I had a question, you know kind of related to the last question. You know you talked about you know in the core business, I guess in both core business and Acceptance Now, you know gross margins has been coming down, that's because of the better value proposition. In the core business, you know you obviously this quarter you were a bit off, not that through – you know since the expense leverage right. So you had that and came up with the higher operating margin.That wasn't the case in Acceptance Now and I was just sort of looking through my model. This is the first time in five quarters that Acceptance Now operating margin went back and one-time items actually decline year-over-year. So I guess I’m just trying to sort of reconcile that you know why that’s sort of working in the core business, if it’s not working now in Acceptance Now, is there something I’m kind of missing there?
Mitch Fadel: Well, a couple of comments that I made. First of all I want to reiterate, in the core business margins are not coming down. They are lower, the gross profit margins lower than a year ago, but if you look at the last four quarters it's been very stable and its actually higher than the third quarter of last year. So they are not continuing to drop. They are only lower than the second quarter of last year as the value proposition were being implemented.And overall the EBITDA margins up 300 basis points, and against the third quarter last year it’s up 500 basis points. So they are not coming down, they are only coming down if you compare it to five quarters ago.On the Acceptance Now side, as Maureen mentioned and if you look at the skip/stolens now, this is the third quarter in a row where they are down. We've gone from the mid 11s, which was out of our range of 8% to 10% and then they were 10% in the last quarter and now they are 9.6%. They’ve dropped significantly in the last three quarters, we’ve performed well there.But a year ago, when you go back five quarters to the second quarter of 2018, we have some recoveries Maureen mentioned it. In 2017 left Conn's and HHGregg declared bankruptcy. So those two large partners with up to 36 month agreement, that revenue from those accounts was running off in 2018, especially the early part. So we had to run off of those accounts which is driving revenue with very little cost, because we closed those kiosks and put the revenue stream into other kiosks.So we had the accretion of those closed stores helping us early last year, the recoveries, where we put the recover amount at the end of 2017 and the losses associated with closing those stores, we had some larger recovery, as we are looking at what the real losses were in the second quarter, there was some recoveries. So we had a low, an abnormally low skip/stolen number.So even though skip/stolen number this past quarter is in-line with our expectations, its 200 basis points higher than a year ago. So when you think of those 200 basis points, the margin is right on top – you are pretty close or right on top of where you’d expect it to be or where it was last year, excuse me in that 15%, 16% range.We are not disappointed with the 13.1 EBITDA margin this quarter. It’s just last year’s abnormally high because they had run-offs and under recoveries.
Anthony Chukumba: Okay, no that’s very helpful clarification. And just one thing, I just wanted to make sure I got this correct. I mean you were talking about the increase in your EBITDA guidance and you said part of that was the debt refinancing and I was – did I hear the correctly, because I mean that’s interest expense right, so that wouldn’t be factored – that wouldn’t affect your EBITDA right or did I hear something incorrectly?
Maureen Short: No, the EPS was impacted by the refinancing. [Cross Talk] yeah.
Anthony Chukumba: Okay, got it, okay. No, thanks for clearing that up. Okay, thanks so much guys.
Mitch Fadel: Thanks Anthony.
Maureen Short: Thanks Anthony.
Operator: There are no further questions at this time. I turn the call back over to Mr. Fadel for closing remarks.
Mitch Fadel: Well, thank you everyone, thanks for your time. We are pleased to report these really solid numbers and getting the refinancing done and now we'll go back to work on getting the Merchants Preferred acquisition closed and maintaining these kind of revenue growth numbers, same-store sales numbers and go out there and put another good quarter on the board. So we are working hard for our shareholders, working hard to grow the business and we're really excited about getting our refinancing done in the Merchants Preferred acquisition.So with that, thank you for your time.
Operator: Thank you. This concludes today's conference call. You may now disconnect.